Operator: Thank you for standing by. My name is Jessica and I will be your conference operator today. At this time, I would like to welcome everyone to Rocket Lab’s First Quarter 2025 Financial Results Update and Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] At this time, I would like to turn the call over to Murielle Baker, Senior Communications Manager. Murielle, you may begin.
Murielle Baker: Thank you. Hello and welcome to today's conference call to discuss Rocket Lab's first quarter 2025 financial results. Before we begin the call, I'd like to remind you that our remarks may contain forward-looking statements that relate to the future performance of the company and these statements are intended to qualify for the safe harbor protection from liability established by the Private Securities Litigation Reform Act. Any such statements are not guarantees of future performance and factors that could influence our results are highlighted in today's press release and others are contained in our filings with the Security and Exchange Commission. Such statements are based upon information available to the company as of the date hereof and are subject to change for future developments. Except as required by law, the company does not undertake any obligation to update these statements. Our remarks and press release today also contain non-GAAP financial measures within the meaning of Regulation G enacted by the SEC. Included in such release and our supplemental materials are reconciliations of these historical non-GAAP financial measures to the comparable financial measures calculated in accordance with GAAP. This call is also being webcast with a supporting presentation and a replay and copy of the presentation will be available on our website. Our speakers today are Rocket Lab’s Founder and Chief Executive Officer, Sir Peter Beck, as well as Chief Financial Officer, Adam Spice. They will be discussing key business developments and highlights including updates on our launch and space systems programs. We will discuss financial highlights and outlook before we finish by taking questions. So, with that, let me turn the call over to Sir Peter.
Peter Beck: Thanks Murielle and thanks everybody for joining us today. While we had a very strong start for 2025 across the business, I want to provide a bit of an update as we build towards our future as a Constellation owner and operator. As we take you through our achievements for the quarter, keep this in mind how every milestone and every mission brings us closer to that lucrative piece of the space value chain. We continue to launch and book more and more electron missions proving we hold the keys to space with regular launch access. As Neutron rises closer to the pad, we also get closer to having a 13-ton reusable launch vehicle that can deploy our own satellites with speed and cost efficiency. We are also generating revenue through the missions we will fly for our national security and commercial customers. Having gone after the full space ecosystem with satellites, launch vehicles and everything in between, our deep vertical integration is one of our distinct competitive advantages. And while it's bringing us closer to our strategic end goal this quarter, it's also served us well against a backdrop of dynamic international trade environments, ensuring that we have the supply chain lock with secure and predominantly U.S. based manufacturing. So with that let me move on to some more specifics for the quarter. We've posted a near record quarterly revenue of 122.6 million, nudging to the top end of our prior guidance and 32% up 32% compared to last year. We have another strong looking quarter on the horizon. With the midpoint of our guidance range for Q2 pointed to another record sending quarter for the business, and I'll let Adam go into those details a little bit later. On the launch side, demand is soaring. We booked eight new Electron and HASTE missions for Q1 and at the same time launched five missions with 100% mission success. Three of those took flight within just 13 days of each other and there is demand from our customers for more than 20 launches this year. For Neutron, our selection to the DOD's High Value Launch contract NSSL program is really the headline for the quarter. I'll go into more detail about what this means and how we plan to deliver against it in the later slides. And in space systems, it only took 15 days to bring back the seconds in space manufacturing mission for Varda the before our third spacecraft was launched to space and began its operation. A real demonstration of the speed and capability we have developed to deliver consistently reliable spacecraft for our customers. So there's lots to get excited about this past quarter. So without further ado let's dig in. First up, turning to small launch. So Electron continues to prove why it's the global leader with five missions in the quarter all across only six and a half weeks. Proving that even when our customers are ready to go with their payloads. So are we looking ahead? Next weekend's mission for the multi launch customer IQPs will be the first of six in a row that are flying back to back out of Launch Complex 1. Electron makes frequent and reliable launch look easy, but if we take a look back over a past decade it really shows that Electron has really cemented itself as the preeminent small launch provider. Electron really has scaled to provide the majority of American commercial small launch. A focus on execution, smart use of capital to scale launch cadence and production and a solid and reliable product is what it takes to succeed. A few others have been able to achieve that in the same way we have with Electron. That really goes to show what an impact Electron has had and continues to have on the industry in delivering trusted and reliable access to space for small satellite operators. And Neutron is set to do exactly the same, obviously. Moving on to HASTE and a hypersonic test vehicle continues to be a sought after capability both domestically and internationally. Both the U.S. and the United Kingdom have picked HASTE to develop sovereign hypersonic technology for their multi-billion dollar defense programs. We've been selected to participate within the U.S. Air Force's EWAAC program, a $46 billion indefinite delivery, indefinite quantity program. The second program we have been on ramp to is a $1.3 billion framework by the United Kingdom's Ministry of Defense as it works to shore up its hypersonics capabilities. This is HASTE's first international call up and a proud moment for the team to be able to contribute to the collective security of the United States and its allies. We've also landed another HASTE launch contract through Kratos for the Department of Defense MACH-TB program. So that's seven missions now with HASTE for MACH-TB making us one of the most prolific commercial launch providers on that flagship DOD program. Regular hypersonic flight tests are critical to developing the technology and infrastructure needed to keep countries safe and HASTE is right at the center of that effort. Now onto Neutron. Momentum is building for Neutron on the back of really significant progress we made in 2024. The big news item in this quarter has been on ramp to the Pentagon's high value launch contract National Security Space Launch Program. This is the most competitive launch program in the industry to fly the DOD's highest priority and most critical missions. Our selection to it is a huge vote of confidence by the Pentagon and Neutron and affirms us as one of the most capable American launch providers. We are also the only publicly traded company to ever onboard NSSL. Once we are clear of Neutron's first launch, we'll be bidding for task orders under the Phase 3 Lane 1 program which has a total value of $5.6 billion and an ordering period through to June 2029. We've already completed a kickoff meeting with the full contingent of future mission partners including the U.S. Space Force, Assured Access to Space, NRO, Office of Space Launch and other stakeholders from across the government. This was part of a $5 million task order for a mission assurance showcase that came with Neutron selection. Entry into NSSL is the type of disruptive competition the U.S. government and the industry has been asking for. Missions for defense and intelligence satellites used to be dominated by legacy launch providers and the DOD has been upfront about wanting new partners with innovative approaches that bring increased competition. That's exactly what we set out to achieve with Neutron and I'm excited to deliver it once we start flying later this year. I'm also pleased to announce our latest contract for Neutron. We've been selected to fly a U.S. Air Force research Lab mission that supports point to point cargo transportation in a multi manifest mission. It's all part of a program by the AFRL to create rapid delivery systems for defense cargo using commercial launch vehicles and a multi-year effort. Since the mission is all about bringing things back to earth, AFRL will fly on a return to Earth Neutron no earlier than 2026. We know reentry and rocket usability is a critical advancement in space tech that the DOD is highly supportive of, which is why Neutron has been designed from the get go for reuse and frequency and the latest contract is a show of confidence from the DOD in our ability to deliver that. Moving on to some technical updates. It's a big green tick for Neutron second stage qualification campaign proving out the stage's design, operations and readiness for launch later this year. We ran launch like operations across its full combination of flight software, hardware, avionics, guidance, navigation, control systems, and we also proof tested it to more than 125% of its design point. Some of that including applying more than 1.3 million pounds of force in tension across the carbon composite structure. Now, the second stage is one of the more novel pieces of Neutron, so it was important that we retired that risk first. The added benefit of that, of course, is that the structure of stage two is largely similar to stage one. So by completing this qualification campaign first, we brought down a lot of the same risks that we may have seen in stage one. Having passed with flying colours, Neutron Stage 2 is now going through final assembly and will be shipped to the launch site in the next few months in preparation for stage testing with the engine. Now Neutron's pointy [ph] end, the stage 1 upper module is also close to completion as well. This is obviously more than what you saw last quarter with just the hungry hippo fairings. This is the full module and it includes all the major stage one elements, like canards, interstage, along with all of its mechanical systems like actuators, locks, avionics systems, and running all the flight software. The full assembly represents some of the most complex mechanical systems that exist on the vehicle, and they all perform seamlessly during testing. We are just a few small finishing touches away from another big tick on the road to launch for Neutron for that whole section. All of the rocket puzzle pieces are really starting to come together now and look, if we can ship them around the country, we can also fly them. And I think everybody knows how much I like helicopters. But even at their size, Neutron's carbon composite material makes them light enough to move large pieces around by helicopter, which is what we did earlier this quarter to help bring Neutron Stage 1 hardware together and place it all at our facility in Baltimore. While the majority of the rocket is assembled here, given the size of the rocket and the rotor has to travel on to launch Complex 3, Neutron is shipped in stages before it's fully integrated as an entire rocket. Over at Launch Complex 3 in Virginia, we are on schedule and close to finishing Neutron's launch pad. With everything in its place, the team is working around the clock to complete all the integration and activate the pad. One of those more recent campaigns was the water deluge test. Turns out there is water on Wallops Island because we pumped thousands of gallons of it through our pipes. The flow rate was the equivalent to an Olympic sized swimming pool every 40 seconds. And event planning is underway for the ribbon cutting there soon as well. So because Launch Complex 3 really is an important new addition, not just for the state, but for the whole nation with Neutron's on ramp to NSSL, our rocket will be the first to fly for the program out of Virginia. And that really highlights the importance of the pad as a critical national security asset. As the engine test site in Mississippi, the propulsion team is doubling down on Archimedes. We're hop firing flat out, as you would expect, with flight avionics and full software stacks and the team is busy tuning the engine through a barrage of tests. We've also just completed the build of a second engine test cell that's now up and running to enable testing two engines at the same time. So as you can see, we're steadily making our way along the path to the pad. We've ticked off some big wins recently and every element of the vehicle has been worked simultaneously. Yes, it's an aggressive schedule that we have ahead of us, but that's how we've delivered new rockets to the pad before, and a reminder that the schedule that you see here is not sequential. Actually everything is happening at once and in parallel. A good example of this is the launch license to fly. There's a strong possibility that the paperwork will only come in days before launch, just like it did for our first electron flight from Virginia, but that doesn't mean we stop everything else from taking place that needs to be done before we get that. And with no major issues, we're really still targeting the first launch by the second half of this year. Now let's turn to updates across space systems. Just before the quarter closed, we announced our intent to acquire Mynaric, a German company specializing in laser based satellite communications. This intended acquisition still has to make its way through all the approvals, but otherwise is progressing with well. I want to take this opportunity to get into the details behind why we decided to pursue this acquisition and its strategic importance to the growth of our business. A key piece of any large constellation is the ability to communicate between spacecraft with high speed and secure connections. Often that's laser based and the technology that Mynaric has developed is some of the best in the world. Beyond the technology, this deal also sees us sit down our first European footprint in Munich. With extensive production assets, intellectual property, product inventory and a committed backlog for future constellations, there's a clear line of sight to European growth opportunities in this deal. And we'd be looking to expand the existing team of talented engineers and staff to meet international demand. Now by bringing them in-house, the terminals in-house we will add a new element to our spacecraft supply chain that improves our product line and strengthens our position in commercial, national security and defense contracts. Mynaric terminals are already being supplied for a half a billion dollar contract with the Space Development Agency along with many other companies, making this even more of a logical integration. We've proven across all of our acquisitions to date that we can take a highly sought after product, scale it and make it available in high volume. It's our full intention to do the same here again by expanding into Europe and to bring Mynaric terminals to the world and potentially for our own Constellation too. So I'm excited about the potential of this deal and we'll be sure to keep you updated on its progress. Turning to our Varda missions, and very soon we'll be bringing the third in space manufacturing capsule back to Earth with our Pioneer spacecraft. This mission launched in Q1 just two weeks after the return of the second capsule, and since then our spacecraft has been providing power, communications, propulsion, attitude control and to keep Varda's capsule in orbit. The process has now begun to position Pioneer and Varda for Earth re-entry over Australia. So keep an eye out for updates on the mission in the coming weeks. Meanwhile, the team is working hard at wrapping up the integration and testing for our fourth and final Pioneer spacecraft in Varda contract in Long Beach. Our suite of space systems components and mission software is constantly under development, allowing us to consistently produce all right, produce... [Technical Difficulty]
Operator: [Operator Instructions] Are we ready to take questions now?
Adam Spice: No, this is Adam. I think we've had a comms issue with Pete. Let's give him a minute to...
Operator: No problem. While we're getting Pete back on the line again [Operator Instructions]
Adam Spice: Okay, operator, until we can get Pete back on the line, I'll just pick up where he left off.
Operator: Okay. That will be great.
Adam Spice: Okay, operator, until we can get Pete back on the line, I'll just pick up where he left off.
Operator: Okay. That'll be great. Thank you so much.
Adam Spice: Great. Thanks everybody. Yes, this is Adam Spice, CFO at Rocket Lab. So I'll pick up where Pete was discussing our product expansion. And, our suite of space systems components and mission software is constantly under development, allowing us to consistently produce and release new products that really move the needle for the industry and for us. I'll quickly take you through a couple of our latest releases. With STARRAY we've introduced a line of modular solar arrays for satellites that are customizable to meet all their power needs. With multiple different panel dimensions that small satellite operators can choose from it's a plug and play solution at a low cost that helps to speed up small satellite development for our customers. And we've got contracts all ready to supply these customizable wings to Constellations under development right now. We have also expanded our suite of Frontier Satellite Radios that are compatible with the industry's most important global ground stations. And on the software side, we've introduced the next gen versions of our highly popular Max software packages for satellite guidance and control. The software behind Intermission for ground data and space operations, and Max Constellation for software control of satellite constellations is the same that helped land a commercial lunar lander on the moon earlier this year, supported NASA's CAPSTONE mission, DARPA's Blackjack program, and which commands our Pioneer spacecraft for our Varta missions. Next, we've also had an extremely active quarter pursuing new opportunities for space systems that further scales our vertical integration. We are pursuing several large government and commercial contracts that would see us building entire constellations of satellites, not just individual spacecraft. These are industry scaling and shaping constellation that would tap our full space systems value chain and realize significant value that reshapes our business. And on the M&A side, with a half dozen deals in the pipeline as we continue to expand our vertical integration. There's high potential in all of this and we've expanded a lot as a company with our eyes set on Europe and international expansion as well as the deepening national security work that we're taking on through Space Systems and Launch, the time is right for a new company structure that makes it simpler and more efficient to manage the business and our growth, particularly when it comes to U.S. Government classified programs. Our new parent company, Rocket Lab Corporation will replace Rocket Lab USA Inc. as the public company listed on the NASDAQ. Existing shares of Rocket Lab will automatically convert on a one for one basis into shares of common stock of Rocket Lab Corporation, which will keep the RKLB ticker symbol. Trading is expected to continue uninterrupted on the NASDAQ and there will be no impact to shareholders ownership or rights. We should have the new company structure wrapped up by the end of the month. And with that I'll transition over to the review of the financial highlights for the quarter. The first quarter 2025 revenue was $122.6 million, which was at the high end of our prior guidance range and reflects significant year-over-year growth of 32.1%, driven by strong contribution from both business segments but led by Space Systems. First quarter revenue declined 7.4% sequentially primarily due to the mix of lower priced electron missions in the quarter paired with an aggregate reduction in our components businesses, with both of these headwinds expected to reverse and convert into tailwinds in Q2. Our Launch Services segment delivered revenue of $35.6 million, reflecting a slight step down in average selling price. However, our current backlog for Electron and HASTE backlog continues to support an increasing ASP with some variability quarterly tied to volume purchase commitments, launch location and mission assurance requirements. Although variable quarter-to-quarter, we expect ASP for the calendar year 2025 to materially expand when compared to 2024 and with that continued gross margin expansion. Our Space System segment delivered $87 million in the quarter reflecting a sequential decline of 3.4% driven by your attitude determination and control systems and separation systems businesses. Now turning to gross margin. GAAP gross margin for the first quarter was 28.8% above our prior guidance range of 25% to 27%. Non-GAAP gross margin for the first quarter was 33.4%, which was also above our prior guidance range of 30% to 32%. GAAP gross margin improved sequentially owing to an improved mix in satellite manufacturing, partially offset by a decline in launch margin segment related primarily to lower average selling price. Non-GAAP gross margin was down slightly sequentially due to a lower stock based compensation adjustment under our EAC program accounting. Relatedly, we ended Q1 with production related headcount 1088, up 84 from the prior quarter. Turning to backlog, we ended Q1 2025 with $1.067 billion of total backlog with launch backlog of $422.2 million and space systems backlog of $644.8 million. While overall backlog growth has been modest, launch backlog nearly doubled year-over-year with strong underlying trends as we convert a very strong pipeline of Neutron, Electron and HASTE opportunities. Space systems bookings remain lumpy given the timing of increasingly larger needle moving customer program opportunities, but remain at a healthy level despite a step up in revenue run rate over the last few quarters. We continue to cultivate a healthy pipeline including multi launch deals and large satellite manufacturing contracts that as mentioned earlier can create lumpiness in backlog growth given the size and complexity of the opportunities. Relatedly, in Pete's earlier comments he referenced being on ramp recently to some very large and strategic procurement programs including the very large and exciting NSSL program in addition to a few multibillion dollar Hypersonics programs domestically and abroad which now set the stage for exciting backlog expanding task order bidding. Getting on ramp was the required milestone to unlock this potential, so we're very excited about what's to come. We expect approximately 56% of current backlog to be recognized as revenues within 12 months and we continue to get relatively quick turns business that drive top line growth beyond current 12-month backlog conversion. Turning to operating expenses, GAAP operating expenses for the first quarter of 2025 were $94.4 million within our guidance range of $93 million to $95 million. Non-GAAP operating expenses for the first quarter were $76.8 million, up $2.3 million sequentially which was just below our guidance range of $77 million to $79 million. The sequential increases in both GAAP and non-GAAP operating expenses were primarily driven by continued growth in prototype and headcount related spending to support our Neutron development program. Specifically, investment has increased to support Neutron propulsion as we continue to qualify Archimedes and mechanical and composite structures supporting the fairing and tank fabrication ahead of the first flight this year. In R&D specifically, GAAP expenses increased $6.9 million quarter-on-quarter due to the ramping up of the Archimedes production paired with increased expenses related to mechanical systems and composites as just mentioned. Non-GAAP R&D expenses were up $4 million quarter-on-quarter driven similarly to the GAAP expenses. Q1 ending R&D headcount was 923 representing an increase of 95 from the prior quarter. In SG&A, GAAP expenses decreased $800,000 quarter-on-quarter due to a decrease in outside services. Within that GAAP spend, we reported non-recurring transaction costs of $1.4 million in Q1 due to continued corporate development activities including advancing a robust pipeline of M&A opportunities. Non-GAAP SG&A expenses decreased modestly by $1.7 million due primarily to a decrease in software licenses. Q1 ending SG&A headcount was 332 representing an increase of 3 from the prior quarter. In summary, total first quarter headcount was 2,343 up 182 heads from the prior quarter. Turning to cash, purchases of property, equipment and capitalized software licenses were $28.7 million in the first quarter of 2025, an increase of $7.2 million from the $21.5 million in the fourth quarter of 2024 as we accelerated our LC3 construction activities and expanded our additive manufacturing capacity to support Archimedes scaling. As we continue to invest in Neutron R&D testing and scaling production, we expect increased capital expenditures to continue leading up to Neutron's first flight. GAAP operating cash flow was a negative $54.2 million in the first quarter of 2025 compared to a negative $2.4 million in the fourth quarter of 2024. The sequential growth in negative GAAP operating cash flow of $51.8 million was driven primarily by materially lumpy cash receipts from our largest satellite programs paired with continued Neutron investment and long lead procurement supporting SDA as well as subsequent Neutron vehicle bill of materials and related infrastructure including the recovery landing barge to scale Neutron's cadence beyond its initial test flight. Overall non-GAAP free cash flow defined as GAAP operating cash flow less purchases of property equipment software in the first quarter of 2025 was a use of $82.9 million compared to a use of $23.9 million in the fourth quarter 2024, again driven by lumpy cash receipts and disbursements. The ending balance of cash, cash equivalents, restricted cash and marketable securities was $517 million at the end of the first quarter of 2025. The sequential increase in liquidity is due to the at the market equity offering that we announced earlier in the quarter which generated $92.8 million in gross proceeds through quarter end, which is intended to fund growth including future acquisitions such as the Mynaric acquisition along with general corporate purposes. As such, we exited Q1 in a strong position to execute on our organic expansion initiatives as well as inorganic options to further vertically integrate our supply chain with strategic capabilities and expand our addressable market consistent with what we have done successfully in the past. Adjusted EBITDA loss was $30 million in the first quarter of 2025, better than our guidance range of $33 million to $35 million loss. Sequential increase of $6.8 million of adjusted EBITDA loss was driven by a slight decline in revenue growth paired with an increase in Neutron R&D during the quarter. And with that, let's turn to our guidance for the second quarter of 2025. We expect revenue in the second quarter to range between $130 million and $140 million, representing slightly greater than 10% quarter-over-quarter revenue growth at the midpoint. We expect meaningful expansion in both GAAP and non-GAAP gross margins in the second quarter, with GAAP gross margins to range between 30% to 32% and non-GAAP gross margins to range between 34% to 36%. These forecasted GAAP and non-GAAP gross margins reflect improvement in launch ASP and overhead absorption. We expect second quarter GAAP operating expenses to range between $96 million and $98 million and non-GAAP operating expenses to range between $82 million and $84 million. The quarter-on-quarter increase is to be driven primarily by continued Neutron investment across staff costs, prototyping and materials. We expect second quarter GAAP and non-GAAP net interest expense to be $3.1 million. We expect second quarter adjusted EBITDA loss to range between $28 million and $30 million and basic weighted average common shares outstanding to be approximately 514 million shares, which includes convertible preferred shares of approximately 51 million. Lastly, consistent with last quarter, we believe negative non-GAAP free cash flow in the second quarter remain at an elevated level in the range of $40 million to $80 million, excluding any potential offsetting effects of financing under our existing equipment lending facility. And with that we'll hand the call over to the operator for questions.
Operator: Great. Thank you so much again. [Operator Instructions] And our first question comes from the line of Edison Yu with Deutsche Bank. Edison, your line is open.
Edison Yu: Hey, good afternoon team. Thank you for taking our questions. First one, want to ask about Mynaric. It's a public company, so we've obviously seen some of the struggles that they've had. After you are doing your analysis or due diligence on it, what do you think is the of the biggest issue they have had and the plan to kind of address that so you can scale it up?
Peter Beck: I can take that one if you want, Adam. And at this point I think it's appropriate to make the statement that we can go to the moon but can't secure a telephone line. So my apologies for that. But the biggest issue there, Edison, is just production. And that's an area that obviously we're very, very strong in. So as we look at them as a company, they've got a great product, there's been a tremendous amount of capital invested in the business to scale, but there's just a few fundamentals there that we really feel we can jump in and fix.
Edison Yu: And would you expect that ultimately to be quite a high margin product or at least similar to some of the merchant business that you do now?
Peter Beck: Yes, you go, Adam, you better dance there.
Adam Spice: I think when we look at how it folds into our overall portfolio of subsystems, we think it's going to be very consistent. Probably, again, I would say that, scale is important to that business too. The number of terminals that get made. So as we ramp up into these programs, the ability to absorb the overhead will improve. So I think, probably starts kind of, I would say, kind of, I would say more towards the average of our, of our program and probably, get to be hopefully one of our better margin programs in the product lines in the portfolio. But I don't see it being vastly different kind of in totality. It's going to be pretty consistent with our overall kind of blended margin for our components business.
Edison Yu: Got you. And then kind of in relation to that, you mentioned in the slide deck, in the remarks that you still have several, I think half a dozen, potentially quite, quite large opportunities in the pipeline. I'm wondering if you could maybe comment, are you considering looking at actual operator assets so not just kind of tuck in for components, but other operators out there, given there are some, I would say fairly distressed assets. And would you kind of consider working with them or acquiring them in some, in some way?
Peter Beck: Yes, Edison. I mean, we look at everything right, and some things like Mynaric, nice little tuck-ins to kind of bolster our in-vision and then, we'll look across, a range of things including much more needle moving opportunities. Then I would say that, to your point, the opportunities right now to do interesting things are quite high. There's quite a lot of opportunity out there. Hence the reason why we've made sure we're in a strong position to act on some of those opportunities.
Edison Yu: Understood. And just quick housekeeping. The space system margin was quite good in the first quarter. Is that a good run rate for going forward?
Peter Beck: Sorry, you broke up a little bit there. As on, it was. Sorry. As on, it was quite. What? Sorry…
Edison Yu: It was quite high. It was quite good. It was very strong performance in space systems margin in the quarter gross margin. Is that a good rate?
Peter Beck: I think it is. Right. I think we're kind of now getting to the point in scale in the business where we're starting to deliver those better gross margins. So we do expect to continually expand our gross margins for the business in its entirety as we progress through 2025 probably actually be more pronounced on the launch side than it will be on the space system side. But they almost certainly be more pronounced on the launch side because we just know that given the healthier mix on the ASP side, along with an increase in cadence in the back half of the year, sets that part of our business up quite well for significant margin expansion. And we think it'll pretty much -- we're on track to kind of get to where we've been talking about where we wanted to be for the last few years as we exit 2025. So good news on the margin front for sure, across both space systems and launch.
Edison Yu: Fantastic. Thank you.
Operator: Your next question comes from the line of Gautam Khanna with TD Securities. Gautam, your line is now open.
Gautam Khanna: Yes, thanks. Good afternoon, guys. I was wondering, could you just elaborate on the launch margins in the quarter, what may have drove that variability down a little bit, and if you could give us an update on your free cash expectations, the cadence through the year, that'd be very helpful. Thank you.
Peter Beck: Yes. So, yes, so the launch margins are, we've said consistently that our experience in ramping this launch business is -- it's very -- there's a lot of fixed overhead and fixed expenses that go along with running this business. You have things like standing cost of a launch range in New Zealand, which is incredibly strategic. But when it's underutilized, it burdens the business with a lot of fixed costs that have to be absorbed. So cadence really is everything and even though the cadence is relatively consistent, for example, Q1 versus where we see the business in Q2, and we do see an uptick in cadence in the back half of the year. It's really a combination of cadence, which is the number one driving factor. And I'd say second factor would be the ASP. ASP can skew quite a bit. I mean we've got volume launch deals that we price relatively aggressively because people are making long-term volume commitments to the business. And once -- and there's actually some synergies and efficiencies when you're doing kind of a rinse and repeat for launches because a lot of the GNC work is kind of done and we can reuse things like adapter plates and so forth for the payloads. What -- that's -- you get efficiencies through scale and through cadence, but also the ASPs can be quite different. Some of these missions that require more mission assurance and data delivery and so forth after the launch garner a higher ASP. So really, we are looking at the back half of the year to be a combination of both of those positive factors, more cadence, so more open absorption and a significantly better ASP as a result of some of the higher emission deliverables that we have to perform, so it's all goodness on that front. And when it comes to kind of the cash flow dynamics as we progress through the year, again, it's all about getting the first launch of Neutron off. That's why that's such an important thing. It's got all hands to the pump internally to make sure that we hit our objective of getting that off in the second half. And then it's also paired with -- a lot of the cash flow dynamics are tied to get it the first launch off, but there's also some things that we're doing in parallel to getting the first launch off, which is kind of priming the business to be able to scale kind of efficiently and rapidly after that first launch, including things like investing in this return on investment barge. And then also, kind of purchasing long-lead inventory items for the subsequent Neutron vehicles. So some of those things you have to buy components 12 months or greater in advance, so we are leaning forward. We are purchasing those long lead items so that we will be ready to kind of scale production quickly. So I'd say that you should expect these elevated levels of kind of negative free cash flow that we posted in Q1 to kind of continue in Q2, and certainly in the second half of the year until we get that first launch off and then we expect things to moderate. And we can provide more color on that as we get closer to that milestone.
Gautam Khanna: I appreciate it. And one last one on tariffs. Can you size your exposure where you have the exposure, if at all? How it impacts the business? Thank you.
Adam Spice: Yes, we can. I will say, of course, we are in a very dynamic situation. Who knows what the tariff environment is going to be like tomorrow or 2 weeks from now or 2 months from now. But based on what we see today, we're pretty fortunate in the fact that if you look at our Electron launch business, much of the cost for that is really New Zealand born, right, and where the product is manufactured in New Zealand and launches out of New Zealand. Very few of our launches actually take place outside of New Zealand on Electron. And on our Space Systems business, we're pretty fortunate that, again, we're very, I'd say, domestically source intensive. So much of what we manufacture on the Space Systems side are manufactured in the United States, where they're not manufactured in the United States, they involve a high U.S. content on the materials or bill of materials that go into those non-U.S. produced parts. You can think of things like our reaction wheels that come out of Toronto. When you actually look at those reaction wheels, there's a significant amount of U.S. content in the electronics that go into those things like bearings and so forth. So I think overall, we're pretty fortunate in the fact that we've got our manufacturing intensity largely kind of lined up where we don't have a lot of exposure. But again, things could change. We don't -- I think we don't have a crystal ball as to where things are going to be in the future, but we think we're positioned better than most given the current environment.
Gautam Khanna: I appreciate it guys. Thanks and good luck.
Adam Spice: Thank you.
Operator: Your next question comes from the line of Ryan Koontz with Needham. Ryan, your line is open.
Ryan Koontz: Hey thanks. I want to ask a little bit about the new products and kind of the pipeline of opportunities for that? Maybe starting with your new solar array products, sounds like they're modular, and maybe you can expand on kind of target applications for those products?
Peter Beck: Yes, Ryan, sure. So on the star rays in particular, we had a lot of customers coming to us with quick turn opportunities where they need to get on a little bit super quick. And the SolAero business had built a very nice way of building cells and panels and produce high-quality things, but that like super quick. Here's a complete array. It is not really a product that is readily available in the U.S. right now in the market. So we saw that as an opportunity given kind of what customers are asking for. And it's a very modular things so you can add multiple kind of panels to the array. And it just gets our customers on orbit much faster. The total opportunity for that product, we'll have to wait and see. I mean [indiscernible] can earn to go off on what we see customers asking for. But we're very commercial in these things, like we need a certain number of evidence of inquiry before we make those investments, but it also enables the company as a complete array manufacturer. Typically, SolAero or historically, SolAero just made cells and some panels, but since the integration with Rocket Lab, now we are able to add all of the other elements, deployment mechanism, hinges and whatnot to produce these entire array.
Ryan Koontz: Got it. That's really helpful, Peter. Then you mentioned opportunities in Europe. Can you maybe summarize those at a high level? I assume maybe there's some sovereign government programs and as well -- commercial as well. Maybe you can expand on Europe?
Peter Beck: Yes. So Europe, we have been thinking about how we get into Europe for quite some time because Europe is a very protected market, especially with the government programs through ESA. And having a business that's able to work in those programs and having a footprint on the ground really does not just open us up to be able to provide solutions of -- from -- of the satellite terminals, but communication terminals, but basically, a lot of our products. So it's actually pretty exciting TAM expansion opportunity for us because like I said, it's typically very, very difficult to get involved with these large European programs, unless you have a footprint there.
Ryan Koontz: And Peter, is that mostly from the Space Systems perspective? Or are you thinking Launch as well?
Peter Beck: Mostly Space Systems, I mean, yes, the prominent opportunity for us here.
Ryan Koontz: Perfect. Thanks so much. Appreciate it.
Operator: And your next question comes from the line of Andre Madrid with BTIG. Andre, your line is now open.
Andre Madrid: Peter, Adam, thanks for the question. Real quick touch on SolAero. I understand, maybe an update on the backlog there. How are things progressing in terms of working through some of that lower-margin work that you guys still had? I know it was targeted to be done already and you guys are continuing to work towards that. So maybe just a status update.
Adam Spice: Yes. I can take that one. So the -- we actually have done really well in driving the margin improvement in that business. When we acquired it, it was maybe 2.5 years ago. It was about -- I mean almost three years ago now, time flies. It was about a high single-digit gross margin business. And if you look at actually the results this quarter, we've gotten it to pretty much the model that we said we were going to get it to. So I think we've kind of -- maybe we were a couple of quarters later than we -- maybe 2 or 3 quarters later. But I think, overall, we've gotten into where we want it to be. And I think more importantly, it's been a very strategic addition to the portfolio and lets us be much, much more competitive when bidding on these solutions to be a prime supplier into these growing constellation opportunities. So yes, I'm very happy kind of where we've been able to kind of drive the gross margin progression on that business. And I think we've -- hopefully, we have more upside to come on that, but I think we can kind of check the box that we've gotten into that neighborhood that we had originally promised we would.
Andre Madrid: Yes. No, I'd agree. Glad to hear that you guys have achieved that target. On Mynaric, maybe just touching on the supply chain. I think when you guys announced the acquisition, you mentioned that sourcing some key components due to shortages was somewhat difficult, some semi impact there, and that was kind of barring your ability to get -- or their ability to get product out of the door. Is that still an issue or measures looking to be taken to, I guess, improve things on that front?
Peter Beck: Yes. I mean I think some of the supply chain issue was obviously the company's distress. If you're a supplier into that that's kind of a challenging place to supply into and make investments against. Obviously, that goes away with Rocket Lab's ownership. So at least some of those supply chain issues get resolved.
Andre Madrid: Got it. Got it. And then if I could just squeeze in one more. I mean, you guys talked or link about Neutron reusability and the value of that, which was super helpful. But can we get another update maybe on Electron reusability, some milestones to look forward to?
Peter Beck: Yes. So Electron reusability is we've kind of paused that to put all efforts and all team on Neutron. We had an extremely talented reusability team on Electron. And as we look across the business and where the priority lies really is we can get a much bigger bang for our buck with all of those engineers working Neutron and taking their experience over there. So it was just a priority decision that we've made within the company. It's obviously, a Neutron sticker price of $55 million, so if you can get the majority of that back, it's a much bigger impact than a rocket with a sticker price of $8.5 million. So yes, it's just a priority call within the company that we'll put that on pause until we get Neutron to the pad and flying. And as Adam said before, it's all hands to the pump.
Andre Madrid: Yes, yes. No doubt. So those engineers were just moved over from one program to the other, no loss there, right? On the head count base?
Peter Beck: No, correct. Yes. Yes, no, no, no. They've...
Andre Madrid: Nice one. I’ll leave it there. Peter, Adam, thanks so much.
Operator: Your next question comes from the line of Matt Akers with Wells Fargo. Matt, you line is now open.
Matthew Akers: Hey guys, good afternoon. Thanks for the question. I wanted to ask a couple on the federal budget. I guess one on Golden Dome, just if you guys are involved in some of the discussions there? Is there maybe an opportunity on kind of the space layer there? And then I guess the NASA budget was proposed to be cut pretty substantially. I don't think you guys have a ton of kind of direct exposure there, but just curious if that's a risk if that does end up going through to Congress.
Peter Beck: Yes, Matt, good question. So firstly, on the Golden Dome, yes, we intend to be a significant player in there. I mean we already established ourselves as prime contractor as international security programs. And as I mentioned, part of the reason to change the structure of the company into the corporation better enables us to address some of these very important national security programs. So no, I would think we feel very good about Golden Dome and the capabilities we have, not just in Space Systems, but within Launch and then across the full gamut of opportunities there for sure. And then on the NASA side, you kind of -- you called it, right? We don't have a tremendous amount of NASA work. We always -- I personally have a bit of a soft spot for those planetary missions, so we always like to go after those, and we continue to be a trusted launch provider for NASA. But yes, so NASA doesn't form a tremendous amount of our pipeline or backlog.
Matthew Akers: Yes, got it. Thank you.
Operator: Our next question comes from the line of Suji Desilva with ROTH Capital. Suji, your line is now open.
Suji Desilva: Hi, Peter, hi Adam. Maybe on the financials, maybe in picking question, but the percent of backlog that's recognizable in the next 12 months seems to be trending up on a secular basis. I would have thought if you have more multiyear contracts that would trend down. Am I thinking about that correctly? Or maybe you could clarify something?
Adam Spice: Yes. Well, the backlog is -- it's a bit [indiscernible]. I would say that -- if you look at the duration of the program, like take the big like, let's pick the SDA program, for example, and the Globalstar MDA program before that, they typically have, call it the meat of the revenue curve for 3 years, it's a little bit of a tail kind of on front and back end of that, but the bulk of the revenue recognition is within a 3-year window. And even more so, if you kind of look where the area under the curve, even more -- it's really concentrated in about 18 months. And this really comes down to you earn some revenue as you're doing the work to kind of finalize the platform design and get through some of the early milestones of design reviews and so forth. But the real redirect bulk comes when you are actually taking possession of materials like bill of materials because that's where the majority of the cost and under the EAC methodology of rev rec, that's really where we get the majority of the revenue recognition. So you think like it would be right a little more stretchy than it is, but it's really not. It's much more compressed than you think. So kind of when you think about where we are right now on, for example, SDA, where we announced that program, at the -- I believe it was the end of Q4 of 2023. We're like, call it, almost six quarters into that, and now we're really kind of heading into the real meat of that rev rec cycle, right? So think of the majority of that revenue recognition is really going to happen now over the next six quarters at most. So really the next four quarters are going to be pretty heavy, and then they start to trend down, which is why -- we talked about a lot of focus on backlog, which is appropriate. And we have all of our focus right now. We have talked the last few quarters about the importance of putting some -- the next big piece of backlog into on the books. And that's what we're focused on. And there are several, as Pete mentioned that we're chasing, including ones that are pretty well known, like obviously, the next tranche of SDA is due for submission really, really soon. And we think we're well positioned for -- to participate in that as well as some other programs, commercial and government. So look, we think we are in really good shape there on the Space Systems side. The components business is largely less -- it's not the really multiyear deals. It's much more kind of in the near term, say, 12 to 18 months. And when you look at the launch business, I mentioned earlier, getting through some of these kind of program on ramp -- was really the milestone or the prerequisite to really opening up some really big meaningful opportunities, particularly for Neutron, right? So I think you are going to start -- we have kind of knocked down all the barriers to start really kind of building the that backlog in a more meaningful way. I mean $1 billion nothing to be ashamed of, but we think that, that has the potential to grow significantly now as we have kind of gotten to the next phase of these big satellite programs that we think we're in good shape on and also being on ramp for Neutron exposure. So yes, I think it requires a little bit of patience, but I think people when they look back over history have seen we've been successful in converting opportunities into backlog, and we think we're even more confident now than we've ever been on being to do that.
Suji Desilva: Okay. That's very helpful. And then this question may be a little further out. Thinking about sort of Neutron and sort of the landing infrastructure strategy longer term. I wouldn't have thought about this for a few years, but it's this AFRL announcement you had today about being a global logistics provider for them. I'm curious, is it more than one ROI barge globally? Or what are the elements of kind of reentry and landing for Neutron that require investments potentially?
Peter Beck: Yes, good question, Suji. So it's primarily just a barge. It does have return to launch like capabilities as well and its cadence increases then there could be further asset needed to be deployed in the form of additional barges. The point-to-point cargo, look, that program is really at the very beginning of its development within the U.S. government. So I think we're very much in the experimental phase. And it will be interesting to see if that turns into a full requirement for an operational capability, but it's good to be on that program and working on early.
Suji Desilva: Okay, fair enough. Appreciate it, thanks.
Operator: Your next question comes from the line of Jason Gursky with Citi. Jason, your line is now open.
Jason Gursky: Great, thanks. Peter, you mentioned in your comments about Mynaric that they got quite a bit of backlog and are struggling with getting shipments out. What I thought was more interesting about your comments were was how you might utilize that technology in future constellations that you plan to build and operate on your own. So I'm just kind of curious, the strategic rationale behind purchasing Mynaric. Was it more for that purpose and enabling your future constellation? Or was it more to be a merchant supplier?
Peter Beck: Jason, to be honest, both, and you can see that being consistent across all of our components businesses, solar fraction wheels, we have built good merchant businesses, profitable merchant businesses, and we are happy to supply to everybody in the world. But also when it comes to building our own thing, we need a reliable scaled supply of components for our own aspirations. So the space industry, as you well know, is full of subscale manufacturing shops in -- for these base components. And as we see many of our customers struggle to build volume and build quickly because of that. So we're really trying to solve two problems here. One is provide -- be that merchant supplier at scale for the industry. And then as you point out, when it comes time for us to build our own stuff, then we already have that capability at scale and we're just methodically going through every element of the satellite that we're going to need now and in the future and when opportunities present themselves, we take advantage of that.
Jason Gursky: Okay. Yes, fair enough, thank you. Another one for you, Peter. I am just kind of curious on the -- on transport. Maybe you could step back and provide some context for us all. And what you think the unique features of the SDA transport layer kind of envisioned by your customer and the way that you understand it. What's unique about it relative to what the customer there might be able to go and buy from the commercial market today? So you've got commercial communications providers out there today. Maybe just talk -- provide some context on why they need to continue on and go do SDA tranche -- additional tranches on the transport layer versus just going and buying commercial.
Peter Beck: Yes, yes, fair question. So you have to think about what SDA is trying to do as a holistic thing. So as you point out, it's broken up into transport layers and track layers and cut to do layers and a whole bunch of different layers. But when you stand back and you go, okay, what is trying to be achieved here and what elements are critical and what elements are not. So you have to think about it about it not just as a particular satellite, but as a system. And that system needs to be interoperable between all of the current existing infrastructure and all of the future infrastructure. So look, it's a fair question to say, well, can transport be done commercially, but the thing is that it has to be completely interoperative with all of the DOD standards and security, all of the spacecraft that are both on all but now and planned to be on orbit in the future and meet all the requirements of the entire program. And often with a lot of space technology like everything is a trade, so you end up having a pretty tight requirement set that you have to solve for. So it's not unreasonable to think that commercial providers may be able to provide a transport or some of the transport layer. And I think that's the question that SDA and the Pentagon are trying to answer right now. But the important thing is that there's one layer of mini layers. So our focus here, although we have a transport layer, and we'll continue to bid on transport layers. Our real focus is on things like the track layers and the other layers that are out for tender right now because we think that those are -- well, certainly, those are not being able to provide it from commercial assets and there's a lot more to the SDA program than just that one transport layer.
Jason Gursky: Right. And that's a pretty segue into my final question, which was about the pipeline. As you look at your pipeline for constellation builds, and I would consider this transport layer that you're working on now to be a constellation build. Do you think you are more likely to see government constellation builds? Like the next announcement comes along, are we likely to see more government wins from you all? Or are you trying to balance this out and we could very well see a commercial one? Just kind of curious how you are going to market at this point. Thanks.
Peter Beck: Yes. Yes. Well, I mean, so not to sound at all arrogant, but we have the luxury of picking and picking and choosing the kind of work that we want to go after and the things that we think are strategic for us as we think about our future. And that is a mix of both government and commercial, both in kind of either smaller numbers of satellites or small volume constellations that we think are strategic technologies or things that we want to do, but also for the -- also large scale. And I would say that the majority of the effort within the BD team and within the senior management team are really focused on these much, much larger constellations. Partly because that's where we want to go. But also, we have kind of reached the maturity and the scale now that we really can competitively go after those. As we have talked about on this call, we are very, very vertically integrated with a lot of the really pain point satellite components at scale. And we've demonstrated we can do really, really technically difficult missions and we've demonstrated that we can be a prime for national security projects. So I'd say that we're really kind of moved up a flight of stairs on all of that and the opportunities to be looking for a much more larger and needle-moving opportunities but both across commercial and government. So I hope that answers your question.
Jason Gursky: Great. That’s helpful. Appreciate it.
Operator: Your next question comes from the line of Michael Leshock from KeyBanc Capital Markets. Michael, your line is now open.
Michael Leshock: Hey good afternoon everyone. I want to stick with the satellite constellation topic, and you had mentioned the potential for government contracts that could be to build the entire satellite constellation. How do you think about prioritizing that type of work versus building your own constellation first?
Peter Beck: Yes. Well, I mean that is a good question and something that we talk about a lot. But the most important thing for us is to build a large scalable profitable company. So we are not about to embark on huge R&D projects that kind of would make that a much more far out goal. So the answer to the question is probably not a very good answer is that we balance that, right? We look at those opportunities and I can say that everything we've done to date leads us to that point. And when we have a full conviction and thesis that we can talk about around what kind of constellation that we intend to go after, you really have to have that extremely well baked because at that point, you're committing significant resource to go after those kinds of things. So yes, I mean, like I said, the focus is on strengthening the company and we're moving as rapidly as we can into constellations and where we think is important, but we're not going to do that at the cost of the security of the business.
Michael Leshock: And then shifting to Archimedes, how long are you targeting that engine to burn for a full launch? And maybe what's the duration of the half hires that you're doing today relative to that full burn expectation?
Peter Beck: Yes. So I mean, a full duration second stage upper burn profile is on the order of sort of 5 minutes and where we're targeting the testing right now, it's really all about all the start-up and shutdown transients and all of those things. Once you reach thermal equilibrium when the engine is just running at the equilibrium, you are not learning anything because everything is in a steady state. You're just burning for coming at that point. So our focus has not been on big long durations. Our focus has been on all the operating conditions that we need to meet, especially when a reusable launch vehicle when you come in to landing, one of the more challenging things are your propellants are hot and there are different pressures, so that's a far more challenging environment to be able to reignite an engine than a steady-state burn. So that's really been our focus.
Michael Leshock: Alright, thank you. Appreciate the color.
Operator: Your next question comes from the line of Erik Rasmussen with Stifel. Erik, your line is open.
Erik Rasmussen: Yes, thank you for taking the question. Maybe just circling back with Mynaric. I remember in the press release or it seemed like the deal was contingent on, I guess, acceptable terms to Rocket Lab, I mean it sounds like in your prepared remarks, you seem a lot more comfortable on closing that transaction. So what -- are there any sort of sticking points remaining to closing this deal at this point?
Peter Beck: Yes, Erik, I'll make a few comments, and Adam probably have better ones. But you have to go through a whole process in Germany and that process can take some time and that's probably the longer pole in the tent. And it's not really a process that we have much kind of control over. The bankruptcy laws and stuff are different in Germany than the States, but Adam, you might have a better comment?
Adam Spice: No, exactly right. It all comes down to regulatory, and there's a couple of regulatory processes that you got to get through. But the first one is really get through the bankruptcy process over there in Germany, which there is a court date that's scheduled. And so things are progressing. I think we have always had confidence where kind of with our deal that we have with the primary lender here, and that's why we have confidence in kind of leaning forward and announcing the deal. So everything seems to be on track. I mean I think the difficult thing I was trying to predict kind of how the regulatory process will have a time line for that. But we feel good about where we're at because our -- we have a committed plan to, as Pete mentioned earlier, to invest in that business in Germany. It's great technology. There's great initial property. We're going to continue to invest in. We are going to have what we believe to be a thriving merchant business supplying the broader ecosystem. So yes, we have no reason to be concerned at this point.
Erik Rasmussen: Great. And then maybe on the final light, since winning -- since, I guess, announcing that spacecraft, what's sort of feedback or interest have you received? And then maybe any updates on progress thus far, maybe timing of bringing that space at market?
Peter Beck: Yes. I mean, we have strong interest from commercial and government constellation providers. And the -- light really is the gold standard for high volume, high cadence kind of deployments of constellations, also useful for ourselves, of course, but there was really a product that was developed and driven by a set of customers.
Erik Rasmussen: Okay. And maybe switching gears. On the NSSL program, obviously, a big opportunity there. You received a $5 million past quarter. But at what point -- I think you've gone through a pretty rigorous process just to be on ramp for that. But at what point can we expect to see -- or are you expecting to be able to book backlog for that? Is it contingent on that first flight? Or what are the milestones that we can potentially look for that maybe get more excited about that program?
Peter Beck: Yes, totally. So the team now works with us for the next few years on all of the elements of mission assurance and everything that they need for these critical mission. And yes, we're eligible for task orders after the first flight. And -- but between now and then, as you can see, there's already task orders that occur for various elements of getting mission assurance and mission ready to be able to fly these kinds of payloads. But truly, it's after for a flight eligible to bid for those task orders. The Phase 3 set of task orders go through to 2029.
Erik Rasmussen: Great. So really getting to the pad is an OT milestone. And then maybe just finally on Electron, I think, Adam, you talked about higher ASPs. Q1 obviously was lower, but you expect to see an improved cadence. Would you expect, though, the year to end at a much higher rate or just slowly pick up from here in terms of an ASP? So -- and obviously, some lumpiness that you've talked about with some of these volume deals.
Adam Spice: Yes. Right now, the backlog would basically imply a step-up in both cadence and ASP progressively as we move through the year. So I would expect a high watermark on ASP would be in would be in the Q4 period. So we'll see a progression. It's better in Q2 than it was in Q1. It will be better again in Q3, and we'll kind of hit a high watermark in Q4, and I expect that to be both the case for both the ASP and for cadence. And that's really what kind of gets us to that target margin that we talked about. I mean, just to be clear, when we've talked over the past several years, like, well, when we get to a certain point where we're approaching a couple of launches per month or six per quarter, that's kind of our goal to get to our target margins in the 40s. And I think everything that we're seeing right now is consistently kind of playing -- getting us towards that. So I think we're pretty pleased with how things is pretty much almost exactly to plan.
Erik Rasmussen: Great. And that's still is 20-plus launches for the year?
Adam Spice: Correct.
Erik Rasmussen: Thank you.
Operator: Your next question comes from the line of Andres Schroder [ph] with Cantor Fitzgerald. Andres your line is now open.
Unidentified Analyst: Hey everyone, good afternoon. This is Andres Sheppard [ph], sorry about that. Peter, Adam, congratulations on the quarter and all of the accomplishments. I think most of our questions have been asked by now. I wanted to maybe get your thoughts with the international space budgets growing, how do you expect this can benefit Rocket Lab? Where do you see the most demand from international coming across launch satellites and components? Thank you.
Peter Beck: Yes, hi Andres. So primarily Europe, and Electron has done incredibly well in Japan. So Japanese market is like the second biggest market for Electron. But as we think about larger opportunities and programs, I think it really sits with allies in Europe.
Unidentified Analyst: Got it. Okay. That's helpful. And maybe just as a quick follow-up, and again, a lot of our questions that have been asked. But -- and I realize -- I think we touched on this last quarter as well. But as we're getting closer and closer to Neutron, do you have maybe a better sense now how you foresee your revenue mix shifting? As I look at the backlog, there's seems to have been an increase in launch systems over space systems from the last reported backlog. As we are getting closer to Neutron, how quickly do you foresee that shifting towards launches over space systems? Or how long would that transition take, I guess, in your opinion? Thank you.
Adam Spice: Yes. I'll take an add at that, Pete. I mean -- if you look at our back -- I mean, we are dealing with such large opportunities right now that it's going to be very volatile. I do not think you are going to be able to predict a smooth line or extrapolate smooth-line. One large constellation win will skew everything much more quickly and dramatically back to a balance of maybe more than 2/3 of our revenue from Space Systems. But you'll also see as we now have been on ramp to some of these programs to sell, every Neutron launch that we book, if you look at our target price for Neutron in the $50 million to $55 million ASP range, that's going to move the needle as well. And if you can get some bulk prices going on that, that could also skew things so that we could be more than 50% of our backlog to be launched at some period of time. So it really depends. It's so hard to predict. And the good thing is we've got multiple irons in the fire. And both Launch and Space Systems have almost equal opportunity to kind of really move the needle. I think, because right now, Space Systems has become a dominant piece of the revenue mix because of the size of those programs we have been chasing and the breadth of that business versus today having Electron to the phenomenal product getting to our target margins. That's really gone well, but at $8 million, $8.5 million, $9 million doesn't -- it takes a lot more to kind of skew things in the launch's favor, but now Neutron resets that table. So I think it's hard to call. It's going to be very volatile, but the good thing is we see the -- trying to see which one is going to grow faster and move the needle the most is a great problem to have because they both have strong tailwinds to them.
Unidentified Analyst: That's very helpful, Adam. Really, really appreciate that color and congrats again to the team.
Operator: And your final question comes from the line of Ron Epstein with Bank of America. Ron, your line is now open.
Unidentified Analyst: Hey guys. This is Alex Preston [ph] on for Ron. Just one quick one for me to close this out. I'm thinking about the NSSL on-ramp for Neutron. I'm curious if you think -- how you're thinking about potentially transitioning to Lane 2 awards in the future, the more demanding launches? Is it a matter of just demonstrating flight heritage over a number of missions? Or do you see incremental capabilities you'll need Neutron to demonstrate?
Peter Beck: Yes. Thanks for the question, Alex. I wish it was that easy. So the other lane requires you to have a launch site at both Vandenberg and at [indiscernible]. It's very explicit about that. And be able to meet all of the mission requirements for all of the space launch, meaning that you have to have a vehicle that can lift sort of over 30 tons. So the cost of admission to get into that lane is extremely high, hence, the reasons why historically, all of those programs have been quite heavily subsidized in R&D contracts and whatnot and sustaining contracts because you have to hold and maintain a tremendous amount of infrastructure, two pads and a heavy lift vehicle. So unless the rules change, I don't think we'll graduate up into there. But to be honest with you, this is one of the reasons why [indiscernible] base force created this extra lane is they saw that there's a huge lost opportunity with some medium launch vehicles in development and wanting to make sure they take advantage of those. And it will be really interesting to see in time how many of those missions fall from the various lanes, drop down into the lower lanes that are much faster and much more affordable to deliver.
Unidentified Analyst: Got it. Thanks guys, really appreciate it.
Operator: All right. Thank you so much. This does conclude our Q&A section for today. And with that, I will hand it back over to Peter Beck for our closing remarks.
Peter Beck: Yes. Thanks very much, everybody. And before we close out for today, here are some of the upcoming events and conferences that the team will be attending. We look forward to sharing more exciting news and updates with you there. Otherwise, thank you very much for joining us. That wraps up today's call, and we look forward to speaking with you about the exciting project -- progress we are making at Rocket Lab again soon. Thanks. Bye.
Operator: Thank you so much for joining us today. This does conclude our conference call. You are now free to disconnect. Thank you.